Executives: Jay Royalty - Vice President of Investor Relations John V. Faraci - Chairman, Chief Executive Officer and Chairman of Executive Committee Carol L. Roberts - Chief Financial Officer and Senior Vice President Mark Stephan Sutton - Senior Vice President of Industrial Packaging Timothy S. Nicholls - Senior Vice President of Printing & Communications Papers - The America's Region Thomas Gustave Kadien - Senior Vice President of Consumer Packaging and IP Asia
Analysts: Philip Ng - Jefferies LLC, Research Division Adam J. Josephson - KeyBanc Capital Markets Inc., Research Division Steven Chercover - D.A. Davidson & Co., Research Division Anthony Pettinari - Citigroup Inc, Research Division Paul C. Quinn - RBC Capital Markets, LLC, Research Division Alex Ovshey - Goldman Sachs Group Inc., Research Division Scott L. Gaffner - Barclays Capital, Research Division Albert T. Kabili - Macquarie Research Gail S. Glazerman - UBS Investment Bank, Research Division Chip A. Dillon - Vertical Research Partners, LLC Mark A. Weintraub - The Buckingham Research Group Incorporated George L. Staphos - BofA Merrill Lynch, Research Division
Operator: Ladies and gentlemen, thank you for standing by, and welcome to the International Paper's First Quarter Conference Call. [Operator Instructions] It is now my pleasure to turn the call over to Jay Royalty, Vice President, Investor Relations. Please go ahead.
Jay Royalty: Thanks, Wanda, and good morning, everyone, and thank you for joining International Paper's First Quarter Earnings Conference Call. Our key speakers this morning are John Faraci, Chairman and Chief Executive Officer; and Carol Roberts, Senior Vice President and Chief Financial Officer. During this call, we will make forward-looking statements that are subject to risks and uncertainties, which are outlined on Slide 2 of our presentation. We will also present certain non-U.S. GAAP financial information. A reconciliation of those figures to U.S. GAAP financial measures are available on our website. Our website also contains copies of the first quarter press release and today's presentation slides. Lastly, given our expanded disclosure around our Ilim JV, Slide 4 provides context around the joint venture's financial information and statistical measures. With that, I will now turn the call over to John Faraci.
John V. Faraci: Thanks, Jay, and good morning, everybody. As we usually do, over the next 15 to 20 minutes, Carol Roberts and I will review our first quarter 2004 (sic) [2014] results and the performance of our individual businesses, then we'll speak to our outlook and we'll open it up to the Q&A session. So let me just start off. International Paper delivered solid operating earnings despite the unusual combination of multiple severe weather events, particularly in the Midwest and Southeast, where a big portion of our mills, box plants and customers are concentrated. The earnings impact due to the weather, which fortunately is now behind us, was $60 million in the quarter. Quarter-over-quarter, we also experienced, and this is the positive part, higher prices in many of our global businesses, including Printing Papers in North America, Consumer Packaging, Industrial Packaging in North America, as well as the Paper business in Latin America, particularly Brazil. Despite the significant weather impact, we had strong results in our North American Industrial Packaging business, with operating earnings at record levels for the first quarter. We also successfully executed $120 million of mill outages at 13 mills and completed the Courtland closure, and our transitioning activities are progressing. We've entered the final stages of the Courtland closure but not all the costs are behind us but a big chunk of them are. We made a lot of progress on the xpedx spin/merge with Unisource, and we expect to close that transaction around the middle of the year. I'm also pleased to report that the Ilim Joint Venture had a solid quarter operationally, almost 2x, almost double the level of the fourth quarter, driven by the ramp-up of the projects, which involved higher volumes, improved productivity, better quality and lower costs. We also got some pulp price increases. These gains, however, were masked by a negative $0.10 noncash charge associated with the devaluation of the ruble during the quarter against the joint venture's U.S. dollar denominated debt. I think the progress on the Ilim ramp-up just underscores International Paper's capability to operate and run global businesses that are in our core business space. And finally, we continue to make progress with our share buyback program in the quarter, and I'll discuss those results a little later on the call. So continuing with our financial results, EBITDA was $920 million for the quarter, down slightly from last year. But remember, weather was $60 million of that. We also had $40 million of cash costs associated with the Courtland closure. Free cash flow was $254 million. But I think to really compare that to the first quarter of $300 million last year, you need to do 2 things: take the weather impact of $60 million, the $40 million cash costs for Courtland and the $60 million higher CapEx that we had in the first quarter that's planned, and our underlying free cash flow was closer to $380 million, but we showed $250 million here for those other 3 reasons. So let me turn it over to Carol Roberts now to talk about the business performance.
Carol L. Roberts: Thanks, John, and good morning, everyone. Looking at the sequential EPS bridge, IP earned $0.61 per share in the first quarter versus $0.83 in the fourth quarter. As you can see, on the bridge, the $60 million weather impact is on the far right. And as you think about that impact, it's about 50% operational disruption with higher costs associated with that, 25% lost volume and 25% higher input costs in the quarter. Outside of the weather impact, as John mentioned, we experienced favorable pricing. We did see seasonally weaker volume, we had good operation, and the impact of the heavier maintenance outages hit us in this quarter. Additionally, we saw other increased input costs, a negative swing on corporate due to the non-repeat of the favorable item from the fourth quarter and the net unfavorable change in equity earnings at Ilim due to the noncash FX impact, as John described earlier. I think it's important, turning to the next slide, to put a little context around our results for the first quarter of '14 versus the first quarter of '13. When you compare our year-over-year results, the first quarter of '14 was a strong quarter, considering we had the impact of the weather, a higher tax rate and the unfavorable noncash Ilim FX impact of $0.08. And additionally, if you look into the ops line, $0.05 of the year-over-year impact was attributable to the Courtland shutdown cost. So when you put all that together, those items represent $0.32 per share headwind in the quarter year-over-year. Turning to the next slide. This shows our quarter-over-quarter global input costs impact. As you can see, we experienced significant headwinds, largely driven by the extreme weather condition across much of the U.S. This drove energy costs much higher. And those costs, although seasonally improving, will remain relatively high as we work through the second quarter. We do anticipate that the gas market is going to [ph] albeit slowly due to the current pretty low level of gas inventories that exist right now. We experienced seasonal wood cost increases as well. In addition to the weather impact, our wood costs are currently being unfavorably impacted by competition for fiber from OSB plant start-ups and some new export pallet facility. Although we do expect some improvement in North America wood costs throughout the year, we do expect the wood demand environment to remain under some pressure over the next couple of quarters. Now turning to the businesses on Slide 10. Let me talk about Industrial Packaging. As John mentioned, the Industrial Packaging business had a strong quarter, driven by increased prices, favorable mix and stronger sequential volume in North America. Our year-over-year box volume was down about 2% on a per day basis, and this is roughly in line with the industry. Outside of the weather impact, the operations performed well and the business successfully executed $69 million of outages. Wood and seasonally higher energy costs were partially offset by favorable OCC costs. In addition to our planned maintenance outages, the business did take 60,000 tons of market-related downtime in the quarter, as we continue to match our supply with our customers' demand. Looking at the EBITDA margins in North American Industrial Packaging on Slide 11. The business continues to generate the best margins in the industry, and Mark Sutton and his team are actively working initiatives across the business, which will drive further margin expansion over time. Before leaving Industrial Packaging, I wanted to touch on what we're seeing on the demand front through April. As you can see on this slide, month-to-date, April '14 shipments are up about 3% from the first quarter level and, importantly, are up 2% versus April of '13. While this comparison only considers what we've seen so far this quarter, there's no doubt that demand has certainly picked up from the Q1 level and particularly has picked up from the March level. This is from the recovery -- from the weather, of course, but also as we move into a seasonally stronger time of year. Moving on to Consumer Packaging on Slide 13. We exited the quarter with price momentum as we continue to implement our recently announced increases. I have to note for this quarter, volume was constrained by a 5-year coal mill outage in Augusta. We did see sequentially softer demand around Chinese New Year in our Sun JV, and we had a significant outage, a positive outage, at our coated paperboard machine at our Kwidzyn, Poland mill as we did a significant capital project to enhance our product quality. Other significant factors impacting Brazil were escalating input costs, disruptions due to the severe weather and just consistency of our manufacturing operations. In the other category, which shows up on the bridge, that's primarily FX and driven by the weakening currency in China. I think it's important for our Consumer Packaging business to highlight a lot of the positive momentum that may be masked in the previous bridge. That's going to result in the business having improved earnings in the second half of the year and beyond. It's important to note that 85% of our mill outages in the U.S. business will take place in the first 5 months of the year. We know that North American SBS backlogs remain strong at 5 weeks, and we anticipate that will continue given the high outage schedule that I just mentioned. We saw record cup demand in the Q1 despite January and February's weather in much of the U.S. And we expect full realization of the announced price increases in both our Coated Paperboard and Foodservice grade in this business. Real good news is we're continuing to see the positive momentum in the shift from foam to paper cups, and that's going to benefit both our Coated Paperboard and Foodservice businesses. To ensure that we have the capacity to take advantage of this growing demand, we recently announced the expansion of our Kenton, Ohio facility, which we will complete by mid-next year. And finally, which is very exciting, is we recently very successfully completed a significant capital project to our Bleached Board machine in Kwidzyn, Poland, and we will realize the benefits from enhanced product quality and expanded margin, as we ramp up and bring this new product to market over the next year. On Slide 15, let me move on to Printing Papers. In Printing Papers, we saw price improvement in North America and Brazil, along with mix improvement as we exited lower-price positions as part of the Courtland transition. But these were more than offset by lower volumes in North America, Brazil and Europe. The North American volumes were lower, of course, due to the Courtland shutdown. And for Brazil, the first quarter is just a seasonally slower quarter. I'd want to note that volume and mix were adversely impacted by a slowing Russian economy. And consequently there, we saw an increase in our export shipment. We do expect this trend to continue into the second quarter. The higher costs that show up on the bridge are essentially result of the Courtland shutdown. Higher inputs, namely wood and energy, unfavorable FX in Brazil and weather, were also negative to the quarter. We realized $36 per ton in price improvement across all the grades in North American paper, and that's slightly ahead of expectations on a weighted average basis as that first price increase was applied to about 75% to 80% of our mix. Turning specifically to an update on the Courtland shutdown on Slide 16. Things are progressing well, and we're entering the final stages of the shutdown and transition. All production was ceased in the first quarter, and we're currently depleting all the transition inventory. Really important work on the qualification trials for the retained business is nearing completion. I want to take a moment on behalf of the entire senior leadership team at the company to thank all our colleagues at the Courtland mill and across the North American Printing Papers business who've been involved with this really massive undertaking for a tough job that was done very well. I'm happy to report that a significant number of our Courtland colleagues have found employment opportunities. Many of which were in other International Paper facilities, where we had openings and opportunities. As we've talked about over the last couple of quarters, we are incurring closure and transition costs as part of this initiative. The impact on operating results in the first quarter was close to $30 million. We expect costs in the second quarter to be about half that, and then there will be some residual and transition costs that flow into the third and fourth quarters, and they'll be in the range of about $5 million to $10 million per quarter. Moving on to distribution. Distribution did experience a challenging quarter as supply chain disruption due to the weather challenges certainly impacted operations and revenue. Lower costs did help our margin, but these benefits were more than offset by the weaker sales. And as John mentioned, we're making very good progress with the activities related to completing the spin/merge transaction with Unisource. Moving on to the Ilim Joint Venture. As John mentioned, the Ilim Joint Venture had a very solid quarter of progress, with $115 million of operational EBITDA, and that improvement was driven by better operations, better productivity, which led to higher volume, and increased pulp prices. On IP's equity earnings though, we were negatively impacted by the weakening ruble during the quarter and the resulting noncash FX impact on the JV's U.S. denominated debt. The JV saw its operational EBITDA, as John said, increase by $54 million in the first quarter, and that just shows the very significant progress we're making on the ramp-up of our projects. While the JV expect operational performance to continue to improve, we have seen some decline in pulp prices from first quarter levels, and that will modestly impact second quarter results unfavorably. And while the Russian economy has slowed considerably, that will impact our Paper business to the West. It is important to note that all of -- much of our production, a majority of our production in the East is destined for China, and the China pulp demand for this business remains strong. Turning to Slide 19. I wanted to take a moment to give you an update on the 2 significant capital projects at the Ilim JV. On the left is the Bratsk mill and on the right is the Koryazhma mill that houses PM-7 that we've started up. The bar graphs represent the recent production ramp-up trends for each. So if I look at Bratsk, you can see that production continues to ramp up. And to put a number on this, we're showing that representing 30% increase in output from the fourth quarter of '13 to our outlook for the second quarter of '14. And the JV expects to achieve full production targets on the new fiber line by year end. In the case of the paper machine at Koryazhma, the machine actually achieved full production and qualification on our uncoated freesheet grades in March. So great progress at the JV and more to come as the year unfolds. So before turning it back to John, let me move to Slide 20 and give you an outlook into the second quarter. I want to note that at the bottom, we added a line on the chart to account for the first quarter weather impact, which is $60 million across our North American business. And remember, this includes some volume, the operational impacts and the input costs escalation that occurred in the first quarter. Outside of that broad weather impact, which included the items I just mentioned, we expect volume to increase in North American Industrial Packaging by an incremental 1.5% to 2.5%. Volume should also modestly improve the North American Consumer Packaging and in Brazil packaging. Given the economic slowdown in Russia, we do expect some modest unfavorable volume and price/mix impacts for the Paper business in that part of the world. Paper pricing/mix will continue to improve in North America and to some extent in Brazil. We should also see the benefit of higher pricing in fluff pulp. We will see some favorable pricing in North American Consumer Packaging as we implement our announced price increase. With the increase in volume in North American Industrial Packaging that comes from a ramp-up of some of the consumer packaged goods companies, we could and will likely see some modest offset as our customer mix normalize. And we do expect to see improvement in prices in our Brazil Packaging business. Operations should continue to perform solidly, and we'll see the benefit of lower shutdown costs at Courtland, as I mentioned earlier. Outside of the weather, we expect overall input costs to be relatively stable with some puts and takes, with some pressure on wood prices, a slight headwind in our European business. The second quarter is our heaviest maintenance outage quarter, with outage costs up $60 million versus the first quarter. And finally, on the Ilim JV, we expect solid operational performance to continue. However, pulp prices are -- declined slightly from the first quarter, and we do have some planned maintenance outage in the quarter. As always, for the purposes of this exercise, we're assuming no change in FX, so a non-recurrence of that impact that we saw in the first quarter is planned for the second. So with that as an outlook for the second quarter, John, let me turn it back to you.
John V. Faraci: Thanks, Carol, and I'm on, I believe, Slide 21. Let me just summarize the major puts and takes as we move to the second quarter. Severe weather is behind us, and we've moved on. We see in April increased volume, particularly in our Industrial Packaging business. We think that's both seasonal improvement but also related to some economic activity, which is a good sign. Price realization in boxes is solid and with year-over-year sequential box volume up. We've got a number of pricing initiatives underway in coated paperboard, fluff pulp, North American paper, and we expect to see those benefits in the second quarter, balance of the year. The Courtland shutdown, as both Carol and I talked about, is nearly complete and the costs will be coming down, but we still got some costs with us. We're going to experience our heaviest maintenance outage quarter of the year, up $60 million from Q1. Our tax rate should be up from first quarter levels to roughly 32% for the year, assuming no major changes. But if extenders get passed, that will be lower. Interest expense benefit we had in the first quarter won't repeat. But all-in, we expect a stronger earnings quarter ahead of this Q2. Let me shift gears here for a minute to step back and comment about what IP is doing with our cash. Previously, we talked about IP as a cash flow story. We're running our businesses well, generating higher levels of sustainable free cash flow. We're consistently generating returns for the company above our cost of capital. We work hard to strengthen the balance sheet. We've got $2.5 billion of debt since early 2012, and we met our leverage targets. We've returned more cash to shareholders, increasing the dividend in each of the last 2 fourth quarters, as you see here on this slide. And we've been executing our share buyback authorization since initiating that last September. Simply put, we've done what we said we would do. In terms of the dividend, you can see the recent history where we've made meaningful increases over the last couple of years. We've increased the dividend by more than 33% since outlining our plan in mid-2012, moving the dividend from $1.05 per share to $1.20 in the fourth quarter 2012, then to a $1.40 in the fourth quarter 2013. Very clear, we're saying we think there's more dividend runway ahead, and we continue to increase dividend as free cash flow grows, periodically, systematically, thoughtfully, and importantly, sustainably. Our target of 30% to 40% in free cash flow reflects really a trough-tested analysis of -- that we did because we intend, whatever level we get the dividend to, to make it sustainable. And that 30% to 40% of our free cash flow, which we outlined to many of you at Investor Day a couple of years ago really has dividend potential to grow the dividend to $1.60 to $2 a share. A quick update on the share buyback program. We've continued to be in the marketplace. Since our fourth quarter call, we've purchased over $460 million of stock since our call on February 4 at an average price of roughly $46. This brings total authorization -- total purchases within our $1.5 billion authorization to nearly $1 billion in less than 8 months. And as I said before, with this authorization, we continue to take advantage of the opportunity to buy back larger amounts of stock when the price is attractive relative to our view of intrinsic value. So let me just wrap up by concluding, what makes IP different. I'm not going to read this final slide here, but I think it highlights what IP does that does make IP different and enables us to generate strong free cash flow in today's economic environment, and at the same time, earn above cost of capital returns. The economy is improving, albeit slowly, and that's going to help everybody. But the good news for International Paper and our shareowners is that we have plenty of things to work on that will provide upside from where we sit today, both in North America and in key markets around the globe. So with that, I'd be happy to take your questions. Open it up right now.
Operator: [Operator Instructions] Our first question comes from the line of Philip Ng with Jefferies.
Philip Ng - Jefferies LLC, Research Division: It's good to see volumes in containerboard bounce back in April. What are you expecting for volume growth for the balance of the year?
John V. Faraci: In containerboard?
Philip Ng - Jefferies LLC, Research Division: That's right, in containerboard.
John V. Faraci: Mark, do you want to take that?
Mark Stephan Sutton: Sure. Philip, we started this year thinking we'll be looking at about a 1% demand environment in box, and that's just using our analysis around nondurable goods production. Of course, the first quarter didn't start out that way. But with a more normal trend of economic activity, that's still a number, we think, is achievable for the balance of the year, but it will all depend, really, and all driven by production in non-durable goods in the U.S. But April is only 1 month in the quarter, but we are seeing some underlying positive trends in customers and segments that really took a beating in the first quarter.
John V. Faraci: When I saw the GDP numbers that came out this morning for the first quarter, I wasn't surprised by what our box demand was. We were down 2 and GDP was basically flat.
Philip Ng - Jefferies LLC, Research Division: Got you. That's helpful. And then based on your demand outlook, how do you feel about inventory? And do you guys need to take any economic downtime going forward?
Mark Stephan Sutton: Well, we don't forecast the economic downtime given the cycle of the business, but our inventories are in pretty good shape. You noticed this is one of the first first quarters in the last couple of years that we weren't talking about a lot of supply chain costs and disruptions in the first quarter, largely related to our inventory position. So we feel good about our inventories. We're going to, obviously, make the containerboard we need to serve the 3 channels that we're in: our Box business that IP owns and runs first and then our domestic open market and exports. So I think we'll balance what we need in production. We've got a large, flexible system, and I think lack of supply chain issues indicate we've got a pretty healthy quantity of inventory, and the quality of our inventory is in good shape.
Philip Ng - Jefferies LLC, Research Division: Got you. And just let me sneak one more in for Carol. The potential dividend target you guys outlined, how quickly can we get to that midpoint? Is that a 2014 event? Is that more of a '14 or 2015 event?
Carol L. Roberts: Philip, we've said that as we watch the free cash flow of the company improve and we watch the business results come in, we'll evaluate it. I would say that you've seen us raise it in the fourth quarter of '12 and the fourth quarter of '13. So that's been the fact pattern so far.
John V. Faraci: Think incremental and periodic.
Operator: Your next question comes from the line of Adam Josephson with KeyBanc.
Adam J. Josephson - KeyBanc Capital Markets Inc., Research Division: One on OCC. John, obviously many people have talked about their expectation that OCC prices would -- are biased upward over the long-term. But obviously, that hasn't happened over the past couple of years. Has there been anything over the past couple of years that you consider anomalous, such that OCC should go up from here? And how much depends on China?
John V. Faraci: Well, a lot depends on China. And at the end of the day, China on the pulp side, China is 100% of the world's incremental demand. And you could make an argument, it's probably pretty close to that in terms of incremental OCC demand. There's no question, China is going to elect more of their own OCC because their domestic box -- their box business to domestic market is growing as opposed to box business for export. But remember, China is close to a $50 million ton market. So if it's growing at 4% a year, that's 2 million tons a year, and China is fiber short. So it's almost -- it's hard to come to a conclusion. OCC prices don't trend up over time, with the biggest box market in the world being basically fiber short and recycled linerboard driven.
Adam J. Josephson - KeyBanc Capital Markets Inc., Research Division: And just one on the additional capacity in containerboard. How would you characterize the impact so far of the converted newsprint machines and of the new mills? And what do you expect the impact to be of the capacity that's been announced that has yet to hit the market but will do so later this year and into next year?
Mark Stephan Sutton: Adam, this is Mark Sutton. On the new capacity that's actually running, our view is the products that are being made are not all the same. They have different end uses. And in our own experience, given we're largely integrated and we export twice as much containerboard as we sell domestically, the impact directly to us has been pretty minimal. However, I think there are secondary impacts in the export market. If our market grows, as we expect it to, modestly, there should be a market to support some capacity additions. It's hard to tell how that's going to play out in the future given the range of quality that -- and capability of these products, but we're keeping an eye on it. It's hard, real hard to speculate on capacity that's being talked about but not yet here. So we're just monitoring that.
Operator: Our next question comes from the line of Steve Chercover with D.A. Davidson.
Steven Chercover - D.A. Davidson & Co., Research Division: Just a couple of quickies. First of all, on Ilim, just to try and calibrate the model, absent the FX hit, should we see kind of low double-digit contribution, perhaps even low teens in the first quarter?
John V. Faraci: In terms of EPS?
Steven Chercover - D.A. Davidson & Co., Research Division: Yes. Well, in terms of the line item swinging from, I think, a loss of $31 million back towards $10 million to $15 million positive?
Carol L. Roberts: I think the way to look at that would be to take the FX out and that operational EBITDA that we mentioned of the $115 million. While we see good momentum on the production of the 2 projects in the mills, we see a little pressure on pulp pricing. And we have an outage that we'll take at the end of the quarter. So I would expect that we would see operational EBITDA to be down a bit from that first quarter level.
Steven Chercover - D.A. Davidson & Co., Research Division: Okay. And I recognized that the sanctions are against individuals in Russia as opposed to corporations. Are you concerned? Or do you have any contingency plans if things get worse?
John V. Faraci: Well, at this point in time, Steve, business conditions aren't worse as it relates to what's going on in the Ukraine. Actually, the weakening ruble is helping us in our competitive position because we have so much pulp we export to China. And as paper -- the Russian economy was slowing going into the fourth quarter. There's no question, it slowed a little more because of what's going on in Eastern Europe and in the Ukraine but the weaker ruble is also helping us on our paper exports because of the ramp-up of that paper machine in Ilim combined with the paper machine we have in IP Russia. We're exporting more paper out of Russia, and the market and the currency is helping us. We've got contingency plans. We've taken on quite a bit of debt to fund those products, but not all of that is long-term debt, and we have good contingency plans in place to roll over that debt regardless of what happens in the financial market. So like every other business, we're watching the situation closely. And with people on the ground over there, we're getting input from people on the ground as to what's happening and also kind of following the news here.
Steven Chercover - D.A. Davidson & Co., Research Division: Great. And just on the containerboard inventories, every company seems to be comfortable with their levels. Yet collectively, they seem kind of high. Should we recalibrate our concern threshold?
Mark Stephan Sutton: Well, I think that's possible. I think when you look at the way that you can really leverage a well-run supply chain in these containerboard systems, and I only know ours. Managing to some arbitrary numbered inventory can actually cost you a lot more money. So I think that's something we are looking at, what's the best inventory for what we need. And then again, I've mentioned this before, not only is our demand seasonal, but our capacity is seasonal, largely through our maintenance outages. So that's not exactly the same every year. So we've got to prepare through inventories to get through maintenance outages.
Operator: Your next question comes from the line of Anthony Pettinari with Citi.
Anthony Pettinari - Citigroup Inc, Research Division: On the last call, I think you guided to 10% improvement and full year EBITDA and free cash flow of roughly $2 billion. And apologies if I missed this, but is that still intact given the weather hit that you experienced in 1Q? Or are there kind of big moving pieces that impact that guidance as we're 1 quarter through the year?
John V. Faraci: Well, we said approximately -- we said a significant improvement in EBITDA, approximately 10%. There's no question we're starting off with a $60 million hole. But we still see the year's shaping up with strong free cash flow and a meaningful improvement in EBITDA. And we've got some tailwinds we can create and I think if we continue to see the April box data as beginning of a trend, that's a positive sign. So we've got no reason at this point to change what we said on that last call.
Anthony Pettinari - Citigroup Inc, Research Division: Okay, that's helpful. And then just shifting gears to Brazil. In the quarter, you increased your stake in Orsa and market conditions in Brazil have been a little bit soft. I'm just wondering if you could talk a little bit about the progress that you've seen internally at Orsa, the expected growth in margins that you hope to achieve in 2014, 2015 and just generally the market conditions there. There's been some talk about maybe power rationing, is that something that potentially could impact you or your customers? Or any thoughts you have there?
Timothy S. Nicholls: It's Tim. Well, just -- let's start with the last piece on energy. Energy costs are up, primarily because the -- Brazil, the whole country, is living through, for the industrialized parts, pretty significant drought at the moment. So we're taking steps to mitigate any risk we might have around operational performance both on the paper side and the packaging side. But we don't know what the weather is going to do, so it's kind of a week-by-week situation. In terms of Orsa, we had a disappointing quarter. Volume was lighter than we expected it to be. The good news is it was isolated around a handful of customers that are experiencing their own challenges in the market. We've taken steps and are taking steps to replace that volume. And we saw a continuation of OCC going up. So margins are not where we want it to be in the first quarter, which includes December through the February period because we report on a 1-month lag. The good news is that's the seasonally weakest quarter of the year, and we're expecting a significant improvement in results as we go into the second quarter. So we don't forecast earnings. But I've stated before, we think we can get the business into the mid-20s for EBITDA margins, and I still think that's true.
Operator: Your next question comes from the line of Paul Quinn with RBC Capital Markets.
Paul C. Quinn - RBC Capital Markets, LLC, Research Division: Just a question on North American paper price realizations. I think, Carol, you mentioned $36 a ton on your commentary. I'm just taking a look at Slide 43 in your deck, and there's a $56 a ton quarter-over-quarter change. Just wondering which ones -- which one is which. Or is there a difference between the 2.
Timothy S. Nicholls: It's Tim again. Actually, they're both correct. On the slide that you're looking at, we did average to average realize $56 a ton. We think about $20 of that was mix. And so when we look at the first price increase across all of our tonnage, you have to keep in mind that the announced price increase from the fall was only about -- on about 75% to 80% of our volume. And we think we've got a fairly normal realization on that. So it was $36 average to average. We actually exited the quarter $3 or $4 above that. So we felt pretty good about how we wrapped up the first price increase.
Paul C. Quinn - RBC Capital Markets, LLC, Research Division: Okay. So essentially, that $36 of the first price increase and then the extra $20 comes from your mix?
Timothy S. Nicholls: Right. We've got $36 average to average. We actually exited in the quarter $3 to $4 above that. So probably $39, $40 a ton across all the tons.
Paul C. Quinn - RBC Capital Markets, LLC, Research Division: Okay, great. And then just over on Bratsk. I mean, I like the 30% improvement from Q4 to forecasted Q2 '14. But what's the current operating rate? Or what was the operating rate for Bratsk in Q1 of '14?
John V. Faraci: We came out on the new pulp line at about 1,400 tons a day, which is about 70% of capacity. And the -- Carol talked about the outage we have coming into second quarter -- late second quarter will enable us to take the next big step and get that closer to design levels, as we go into third and fourth quarters.
Paul C. Quinn - RBC Capital Markets, LLC, Research Division: What's the current bottleneck at that mill?
John V. Faraci: Pardon me?
Paul C. Quinn - RBC Capital Markets, LLC, Research Division: What's the current bottleneck or where is the...
John V. Faraci: We've got a couple of cases to make on equipment. There's no major bottleneck, like with any biggest softwood pulp line in the world, biggest continuous digester and we've got to go and do some not significant modification, the vendor is going to do for us. Don't worry about the Bratsk because we can sell all we can make.
Operator: Your next question comes from the line of Alex Ovshey with Goldman Sachs.
Alex Ovshey - Goldman Sachs Group Inc., Research Division: John, in the U.S. Containerboard business in the first quarter, your volumes were down 2%, the industry was flat, if I'm comparing apples-to-apples. And I think we had talked about in previous quarters that your volume should be more consistent with the industry numbers going forward. So maybe just for the first quarter, can you talk about what was different for you versus the industry? And then going forward, how do you see your performance versus the industry in the volume side?
Mark Stephan Sutton: Alex, this is Mark. The industry was actually down about 1.6%. We were down 2%. So we were roughly in line with the industry on a comparable basis. And we still believe, and we stated this before, we should and we plan to try to grow with the market. That's the type of customers we have, the segments we participate in with a broad-based business. And our expectation is, over the long term, to grow at the market rate. And we were relatively close to that in the first quarter. We've narrowed the gap. From about 1.5 year ago, we were as much as 300 to 400 basis points behind the market. We talked about why and we've consistently narrowed that gap to the point where we're very close now.
Alex Ovshey - Goldman Sachs Group Inc., Research Division: So my mistake, the 2% was on a per day basis, that absolute. Okay, that clears it up. And then on the optimization in containerboard in the U.S., we talked about previously, I think, a potential $100 million per year over the next couple of years. Can you just update us how you guys perform in the first quarter? I'm assuming it was probably challenging given the weather. And sort of how do you see yourself being able to perform relative to the $100 million target as we move through 2014?
Mark Stephan Sutton: We -- you're right, it was challenging in the first quarter. A lot of the optimization items we've highlighted are internal improvements, not really market improvements. And that is in supply chain and how we run our manufacturing operations. There's a couple areas I'd point to. John mentioned one of them, I think, earlier. In our converting facilities, in our Box business, we ran very well. We not only had a record first quarter in earnings but we had a best-ever performance in waste, the performance in our converting operations. And our supply chain across a number of metrics, how we use transportation, how we spend money, moving our product from our mills to our box plants, making sure we're making product in the right mill for the right end location, all improved in the quarter. So I think we made a good step. Obviously, the interruptions in the first part of the quarter made it more difficult.
John V. Faraci: I think the optimization is we're driving a racecar on the track, and the more laps we get around the track, the better the racecar gets. And that's really what optimizing the business is all about. It's a brand-new business for us, 3x the size it was 5 years ago.
Operator: Your next question comes from the line of Scott Gaffner with Barclays.
Scott L. Gaffner - Barclays Capital, Research Division: I just wanted to dig into your comments a little bit on the April containerboard volumes. You mentioned some pickup in underlying customers and end markets. Can you talk about a little bit more specifically what types of customers are we talking about? And which end markets you're seeing recovery in?
Mark Stephan Sutton: I would say, in general, given the month is just ending today, I think 2 things, I would say. In customers, it's broad based, but it's mostly in the customers that were most impacted in the first quarter. So you would think about the large consumer packaged goods companies that took maybe a disproportionate hit based on the type of products they sell and where they're located. And then I would say, geographically, we're seeing a broad-based improvement from March, especially. No single place. A lot of what we're seeing is with existing customers. Obviously, you don't win business in a 30-day period, necessarily. So a lot of it is with existing customers that we were off with in the first quarter, and we're regaining with those customers. But I would say across the board, segment and geography.
Scott L. Gaffner - Barclays Capital, Research Division: Okay. And then within Industrial Packaging, you noted on Slide 38 that European container was actually up 2% year-over-year. Looks pretty strong to me. But how is that versus your expectations? Are you seeing some acceleration in the economy over there? What is sort of the underlying trends there?
John V. Faraci: Think of our European Box business having 2 pieces. There's Turkey and Morocco. Both countries are -- had good volume growth. Morocco was the strongest country in the European Box portfolio last year, principally driven by fruit and vegetable exports to Europe. And then we get to, France, Italy, Spain business. And frankly, volumes, and I think consistent with Western Europe coming out of a slump later than the U.S. did, is starting to -- I wouldn't say is sharply growing, but it's coming back to life. And so we're seeing some better box activity, particularly in the industrial segments. And so our box volume was up 4% quarter-over-quarter. We expect it to have a rebound year-over-year, and good news is we're seeing that.
Operator: Your next question comes from the line of Al Kabili with Macquarie.
Albert T. Kabili - Macquarie Research: Just, I guess, question for Tim on just the Uncoated Freesheet business, how -- in North America, how you're feeling about the second price hike at this juncture. And any concern with some of the import -- additional import activity at Staples at this point?
Timothy S. Nicholls: Well, to be honest, we've lost a little bit of position due to imports on cut size. We'll see how long that holds up. There's a few things you need to know about imports, at least the way we think about it. First, they fluctuate dramatically over various periods of time and it's really driven by FX and by supply chain logistics costs. There's a pretty long pipeline to supply from 1 region of the world to another and not without disruption. But the other thing on imports, even though we've seen significant growth coming into North America in the first quarter, our belief is not all of that is staying in North America. Because of the way the reporting is done, we see it coming in. You don't see it going back out. And we believe that a portion of what's come in has come in for the purpose of redistribution back out to Central and South America. So we don't think it's to the degree that the reported numbers state. In terms of the business going forward, it's difficult to predict demand. But first quarter was no doubt soft, especially in the January time frame, and we think in part due to weather. So the good news was that it improved all the way through the quarter, and we exited March from a demand standpoint to a better place than we started for sure, and April looks okay so far.
John V. Faraci: With Mark on the work, we're not using a lot of copy [ph] paper.
Mark Stephan Sutton: No.
Albert T. Kabili - Macquarie Research: Okay. And I think the volumes you indicated were down, I think, 19% overall. Can you give us a sense or flavor sort of how that parsed out domestically versus exports? I imagine export was significantly a big driver of that. And then in addition, I know part of the strategy with Courtland was to improve the mix, and sort of where you are on that. You mentioned the transitional costs there. But are we still very early in the process for mix improvement in that business that we should see improvement in the coming quarters as well?
Timothy S. Nicholls: As we talked about just a minute ago, we realized $56 per ton of average price realization and incremental increase in price quarter-to-quarter. And about $20 of that, we think, was mix. So it's not a precise science, but we think that's a good number. What was the other part of your question? I'm sorry.
Albert T. Kabili - Macquarie Research: I was just wondering if that -- if there's additional mix improvement that we should see beyond just what we saw in the first quarter?
Timothy S. Nicholls: Well, some of the mix improvement would be driven by seasonality. So there could be some, especially as we get into the stronger season of Q2 and in latter summer and the first part of the fourth quarter. The August, September, October time frame is generally a strong seasonal period as well. And some of the cut size promotions that we have run around either tax season or back-to-school. So I'd say what you should take away from it is, we feel like we're on track to the mix improvement that we wanted to get.
Operator: Your next question comes from the line of Gail Glazerman with UBS.
Gail S. Glazerman - UBS Investment Bank, Research Division: Maybe going back to OCC question, given that it's driven by China, can you talk a little bit about what you're seeing in your Chinese Box business? And also, I guess, as someone who buys a fair amount of board in China, when you look at the quality of the board you're buying, do you have any sense if there's been a change in the mix of where OCC in China is coming from, more domestic, et cetera?
Thomas Gustave Kadien: Gail, it's Tom Kadien. I guess, to the latter part, we buy probably a dozen different grades of different kinds of test liner. So we wouldn't see a change in the quality of what we're buying based on, I'll call it, the mix of domestic versus imported OCC. Now that said, the Chinese -- our view on it, the box demand was flat to down. Export kind of oriented Box business in China is off. If you look at the Chinese economic data, exports were down double digits in February. They were down high single digits in March. So the export-oriented Box business is down. Domestic is growing. But not fast enough to make up for the export. So it's a pretty soft market. Chinese New Year was pretty slow coming out of that, and the first quarter box demand was certainly not what we'd hope for. Now we have seen an improvement, I would say, in the month of April.
Gail S. Glazerman - UBS Investment Bank, Research Division: Okay. And maybe just, again, international box. Last quarter, you talked about perhaps a bit of a struggle to pass through price increases on board into box. With some of the recycle prices in Europe falling over, has that become kind of a nonevent and not even a question at this point? Or are you still expecting to get some box price improvement over there?
John V. Faraci: Well, there's been some slippage in board prices, and that's helping us on our, we call, delta P. But it's still very competitive market in the marketplace for boxes. So we haven't gotten a much price lift at all, but we are getting some relief on the buy side because we're a net buyer of all of our board over there. And some of it does come from the U.S. on the virgin side.
Gail S. Glazerman - UBS Investment Bank, Research Division: Okay. And if I can maybe just throw in one last quick one, staying on international boxes, just the overall export market for your U.S. board.
Mark Stephan Sutton: Gail, the U.S. board that we export, I would say that I characterize the market on volume as stable. And we are not seeing any significant changes in the demand pattern in the major markets that we serve, including the board that goes through our own IP box plants.
Gail S. Glazerman - UBS Investment Bank, Research Division: And pricing?
John V. Faraci: Pricing, I'd say, is also stable. It will show in the data chart down quarter-over-quarter, but that's partly because of the way we entered the fourth quarter. But we've seen some recovery in isolated markets. But overall, I'd say it's a stable environment for the board we export, which is kraft linerboard.
Operator: Your next question comes from the line of Chip Dillon with Vertical Research.
Chip A. Dillon - Vertical Research Partners, LLC: Looking at the uncoated freesheet situation. I know in the past, sometimes when we see a price increase announced, we wouldn't actually see the full amount, maybe it was sort of some customers will pay the full amount, but some might not. And as we think about the second round of increases of $50 to $70, could you just clarify what percentage of your mix in North America or the U.S. is subject to that? And is it your intention to pretty much show the full amount eventually, I guess, by the third or fourth quarter?
Timothy S. Nicholls: Chip, it's Tim. It affects roughly 85% -- depending on how mix plays out, 85% to 90% of our volume. What I would say about the second increase, we've had all of the conversations for the most part that we need to have with customers and we've settled all of those discussions. So what you're going to see is price increase will play out through the second quarter. And there's probably going to be a little bit that bleeds over to the first part of the third. But I think we don't forecast price, so -- but that's how I see it playing out.
Chip A. Dillon - Vertical Research Partners, LLC: Okay. And then as we -- shifting gears a little bit, when we look at sort of the containerboard market in North America -- well, the Box business, I'm sorry, in April, you mentioned that was up year-over-year after being down in the first quarter. And one of your competitors was sort of suggesting it might not be up for them. Do you think some of what you're seeing is share gain? Or maybe asked differently, could it also involve maybe some catch-up with the first quarter issues? Or do you think there might be something more underlying going on in the marketplace?
Mark Stephan Sutton: Chip, this is Mark. What I'd mentioned earlier is what we're seeing mainly in our business is rebounding with existing customers. In that short of a period of time, not a whole lot of business changes hands in terms of share. So it's really -- I think part of it a snapback and part of it underlying economic improvement. But the majority of what we see is in our existing customer base.
Operator: Your next question comes from the line of Mark Weintraub with Buckingham Research.
Mark A. Weintraub - The Buckingham Research Group Incorporated: Question on use of capital. In particular, given the last 5 or 6 years, it seems a lot of evidence, there's reduced volatility in your cash flows, much more stability. Does that incline you potentially to move to the top end of that 30% to 40% return through dividend range?
Carol L. Roberts: No. I think, Mark, that's an excellent point. We do view that our business is definitely less cyclical. And I think that view that it's less cyclical is also what's driven to the stable cash flows, the stable cash flows then lead to the dividend view of 30% to 40%. So I think they're all tied together. And I think, certainly, we feel that cash flow is sustainable and we feel that those targets are appropriate, and we'll just keep monitoring and pushing it. And I think John laid out a pretty clear number of that $1.60 to $2.
Mark A. Weintraub - The Buckingham Research Group Incorporated: Okay. And then on the same topic, you noted in the Slide 25, John spoke to, under the global -- it says leveraging global platform for profitable growth. And John, you also made an allusion to Ilim working out pretty well here and increased confidence in your ability to make core businesses successful overseas. Is that signaling a little increase in desire to seek out global growth? Or is it more kind of a reference to Orsa, the acquisition there? I'm just trying to read what -- whether there's a little bit of enhanced conviction on growing overseas or not?
John V. Faraci: Don't read anything into it, Mark, other than we're doing what we said we would do. And we spent $1.5 billion in Russia on big capital projects, not in our balance sheet, but on the Ilim balance sheet. And we're starting to deliver the results. I mean, we've gone through -- those projects are very complicated, very difficult, took longer than we thought. And we're going to start to see the benefits from those come through. And we'll get the same thing on Orsa. Tim said, we're a little bit behind there. But if we know anything, it's not around Industrial Packaging business, just about anywhere, and we'll get it right in Brazil.
Operator: Our final question comes from the line of George Staphos with Bank of America Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: I know we're late here. Two things: One on North America and then the other one on Orsa for Tim. In North American Industrial Packaging, if you look at the controllable factors, obviously the weather had an effect in your ability to analyze this. Where do you ultimately think you did better? Because from our vantage point, you had a very solid quarter versus our model. It sounded like it came more from converting relative to the mills. But could you confirm that? The related question, good managements that had a lot of experience in their businesses know how to adapt given market conditions. Certainly, you had a big curveball in terms of the weather. Were there any levers that you pulled in the first quarter that might have been pulled more in the second quarter from the optimization standpoint that means that sequentially or later in the year, you don't have quite the same pickup? And then a question for Tim, on Orsa, recognizing that you are confident in your ability to improve the margin to your target goal, what gives you the most conviction in getting that goal, Tim, in the next couple of years?
Mark Stephan Sutton: George, on the first part for North American Industrial Packaging, I think the way -- you're right, it's hard to analyze the quarter in terms of what went well or better than -- I'm not sure what was in the model, what went better than you might have expected. But your comment about converting, we definitely ran our Converting business very well, and we expected to as we've been optimizing and moving business around, and it's bearing fruit and on a number of fronts. On the cost side, on the service to customers, in both cases. And I think other than the early start to the quarter, where we did have some couple of our mills got into some freeze issues, we ran very well in our mill system, which is a big part of our optimization plan. It only takes a couple of our large mills to have a problem to kind of show you a poor average. But on a 17 mills or 16 mills in the U.S., we ran very well at most of them. So I think it was across mills and converting. As far as the levers on optimization, I wouldn't say we pulled anything in the first quarter that we took from another quarter. It was a lot of blocking and tackling and executing in the supply chain and how we run our mills from a reliability standpoint and in the choices we made relative to some of the action in response to what was happening on demand. And we took some economic downtime, and partly because of that demand environment not being where we thought it was. And we have a pretty sophisticated model of how to do that and do it at the lowest marginal cost. And we're getting better at that each quarter. And we're not done. We're still improving that process.
Timothy S. Nicholls: George, it's Tim. Just on Orsa around the conviction on the margins. As John said, we have a lot of experience around Industrial Packaging businesses, and we're taking full advantage of that and leveraging that know-how across the business. But just locally, it's a market we know, it's a market that we believe in long term, and we've got a lot of talent there. So getting the right talent in the right spots is a critical part of our success. Lastly, we like our customer base. We think we're aligned with a really good set of customers and have been for a long time. We had a couple of customers who struggled in their own markets in the first quarter, and they'll probably struggle as we go through part of this year. But overall, I think people, we've got a lot of cost improvement opportunities and we've got a great customer base.
John V. Faraci: I think we're done and just for me to say -- to wrap it up. We continue to see this year shaping up as a good one for International Paper with a meaningful improvement in EBITDA and with strong free cash flow. We look forward in giving you a further update on that when we report our second quarter results late July. Thank you.
Jay Royalty: So thanks, John, and thanks, again, to all of you for taking the time to join us this morning. As always, Michele and I will be available after the call, and our phone numbers are on Slide 26 of the presentation. Have a great day.
Operator: Thank you. This concludes today's conference call. You may now disconnect, and have a wonderful day.